Operator: Good day, ladies and gentlemen. And welcome to the I.D. Systems Inc. Q3 2011 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Jeffery Jagid, Chairman and CEO.
Jeffrey Jagid: Thank you. Welcome to I.D. Systems fiscal 2011 third quarter conference call. Thank you for joining us today. I’m Jeffrey Jagid, the Chairman and CEO of I.D. Systems. Joining me our CFO, Ned Mavrommatis; our Chief Operating Officer, Darryl Miller; and Ken Ehrman, the President of the company. I will provide a brief overview of the quarter, Ned will detail our financials, Darryl will update you on our operations and the performance of our Asset Intelligence subsidiary, and Ken will discuss other highlights. We will then open the call to your questions. Before we begin, let me reiterate the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. The following discussion contains forward-looking statements that are subject to risks and uncertainties, including, but not limited to, the impact of competitive products, product demand and market acceptance risks, fluctuations in operating results and other risks detailed from time to time in I.D. Systems’ filings with the Securities and Exchange Commission. These risks could cause the company’s actual results for the current fiscal year and beyond to differ materially from those expressed in any forward-looking statements made by or on behalf of the company. The third quarter of 2011 fully met or exceeded our expectations in almost every respect. As we have stated on prior calls, our goals for 2011 included, resuming strong topline revenue growth, diversifying revenue sources, controlling costs and achieving net profitability by years end. I am pleased to report, that our Q3 revenue of $11.3 million represents our highest ever quarterly revenue to date, a 74% year-over-year improvement from Q3 2010 and our fifth consecutive quarter of sequential revenue growth. With this increase in revenue plus a stable gross margin of over 50% and our continued focus on managing overhead costs, we achieved non-GAAP net income of -- in Q3 of $0.06 per share. Needless to say, we are gratified by the success of our growth strategy and very happy about meeting so many key goals this quarter for our shareholders. Our Q3 revenue growth was driven by three factors that speak to the continued expansion of applications for unique wireless asset management technology and to the diversification of our customer and revenue base. First, we generated significant revenue from our rental fleet management solutions, which are now being deployed by Avis Budget Group. Second, we continue to achieve robust sales of our core industrial vehicle management systems adding several more Fortune 500 and industry leading customers from a broad range of vertical markets, as well as maintaining successful business relationships with our core blue chip customers. And third, our Asset Intelligence subsidiary achieved record orders for its transportation management solutions during the quarter. In a few minutes, Darryl will provide more granularity on the performance of our AI unit and Ken will discuss the highlights of our rental and industrial vehicle management businesses. Not surprisingly with our consistent quarter-to-quarter improvements, our year-to-date performance in 2011 has also met or exceeded our expectations. I.D. Systems revenue for the first nine months of 2011 was $27.5 million, a 47% increase compared to the same period a year ago. At the same time, our SG&A and R&D expenses decreased 9% compared to the same year ago period. We continue to believe that we can drive our revenue up to approximately 50% with the overhead structure we currently have in place. Our focus on Q4 2011 and beyond remains the same. We continue to target new customers and applications, as well as organic opportunities for topline revenue growth, we strive to increase predictable recurring revenue as a percentage of total revenue, we are committed to maintaining discipline on costs and our ultimate goal remains to further improve our net results and increase shareholder value. Thank you for your time today, I look forward to your questions later on the call. Now, let me turn it over to our CFO, Ned Mavrommatis to detail our financial results.
Ned Mavrommatis: Thank you, Jeff, and hello to everyone on the call today. As Jeff noted, our revenue for the third quarter ended September 30, 2011, increased 74% to $11.3 million from same $6.5 million for the third quarter of 2010. The in revenue was due to increase sales of our company’s wireless vehicle management systems for fleets of rental cars and industrial trucks. Recurring revenue for the quarter was $4.2 million. Our gross margins for the quarter were 52%, reflecting continued price stability of our systems and high margins for our recurring revenues, primarily from the transportation asset management systems of our Asset Intelligence subsidiary. Operating expenses for the quarter remain flat at $6.5 million, if you exclude stock-based compensation and depreciation and amortization of intangible assets of $880,000, non-GAAP operating expenses for the quarter were $5.6 million. Our net loss for the third quarter improved significantly. For the quarter net loss was $214,000 or $0.02 per basic and diluted share, down from $1.9 million or $0.17 per basic and diluted share for the third quarter of 2010. Excluding stock-based compensation and depreciation and amortization of intangible assets, the company reached non-GAAP profitability one quarter ahead of plan. Our non-GAAP net income for the third quarter was $665,000 or $0.06 per basic and diluted share, compared to non-GAAP net loss of $1.1 million or $0.10 per basic and diluted share in the third quarter a year ago. Our balance sheet remained strong, as of September 30, 2011 we had $28 million in cash, cash equivalents and marketable securities, which equates to $2.32 per share and no debt. As of September 30, 2011 the company acquired 265,000 shares of our common stock under the $3 million stock repurchase program at an aggregate purchase price of $1.1 million or $4.33 per share. We are obviously pleased our financial results continue to improve significantly in the third quarter. We are optimistic that if we maintain our fundamental strategic approach particularly expanding our customer base, diversifying revenues and managing costs, we will continue to move towards sustain profitability. I look forward to continue to report a financial progress to you through the end of 2011 and beyond. With that, I would like to turn the call over to Darryl Miller, our COO to discuss operations of our Asset Intelligence subsidiary.
Darryl Miller: Thanks, Ned, and thanks to everyone for joining us on the call today. In the third quarter of 2011 I.D. System’s operation team continue to focus on order fulfillment, system implementation and customer satisfaction for both new and existing customers. Our internal service metric called NPS or Net Promoter Score is a best practice used by many Fortune 500 companies. I’m happy to report that our third quarter NPS score increased, which represents the fourth quarterly increase going back to the fourth quarter of 2010. We attribute our steady improvement in NPS scores to manage the corporate operation initiatives we began in early 2010. For example, we consolidated our customer support operations to increase service levels, you may also remember that we consolidated our contract manufacturing early this year, which has paid off in more rapid order fulfillment and overall better quality. Our Asset Intelligence subsidiary is one of the world’s top three providers of wireless transportation asset management solutions. Our broad suite of VeriWise product ranges from the low cost high value Track & Trace system to industries most advance cargo monitors and refrigerator trailer management systems. In quarter three 2011, our Asset Intelligence business achieved a number of significant records and milestones. Year-over-year, 2011 order volume has exceeded 2010 in every quarter. Cumulatively through the first nine months of the year 2011 orders have increase more than 120% over 2010. Quarter three results were especially strong Asset Intelligence order volume in Q3 2011 was more than four times greater than Q3 last year. We received a significant volume of orders in Q3 from satisfied repeat customers, customers including Wal-Mart and Knight Transportation. We also won net customer this quarter, many at expense of our primary competitors. We’re particularly success replacing competitors product with our value-added oriented Track & Trace solution, which provide location tracking and utilization information for several types of assets. Last quarter, we announced the Track & Trace that earned UL913 certification, the highest product rated related to the shipments of hazardess materials. In Q3 we translated that technical success into our first major shipments of UL913 certified product to one of the world’s largest chemical companies. Also for the first time in Q3, we deployed the Track & Trace solutions on fleet of domestic intermodal containers. Our new customers in the market include a leading global provider of multi-modal transportation services. Back on Jeff’s comment, the focus on going of the Asset Intelligence business unit and I.D. Systems operation team in general remain expanding our base of customers and applications, driving incremental revenue from existing satisfied customers, contain our costs, and bottom line value to our shareholders. Thank you for time and attention today. I look forward to bringing you further update in the future. And with that, I’d like to turn the call over to Ken Ehrman, our President to review addition I.D. Systems highlights for the quarter.
Ken Ehrman: Thank you, Darryl, and thanks again to everyone joining us on the call today. On the industrial vehicle management side of our business, we received a significant volume of orders in the third quarter from repeat customers including, Alcoa, American Airlines, Audi, Caterpillar, Ford, Nestlé, Procter & Gamble, the U.S. Postal Service, Walgreens and Wal –Mart. The Postal Services worth special note as it awarded I.D. Systems a series of purchase orders to upgrade our solutions at more than 100 postal distribution facilities across the country. As part of the software upgrade, we will deploy new interactive desk board enhancements to our asset visibility and productivity optimization modules and a new generation of automated system health analytics. As we all know the postal service is struggling with significant challenges these days. We believe that by making this commitment to enhance its installed base of I.D. Systems, Industrial Vehicle Management Technology. The Postal Service is in effect telling up that we are part of this solution to the supply chain cost reduction this year, which is gratifying. We believe there are still additional growth opportunities available to us with the postal service, for example the USPS uses third party logistics service vendors with our potential customers for our Asset Intelligence product, this is a good example of how we are increasingly trying to leverage the synergy of our World Class Vehicle Management Systems and our world class transportation Asset Management System with cross selling of our solutions between our customers. We’ve also had many notable new customer wins in our third quarter in 2011, across the diverse range of industries and application environments. Working through our industrial vehicle channels partners, primarily lift truck dealers and OEM such as Raymond, we receive first time orders in Q3 from a Fortune 100 food producer, a Fortune 500 retailer, one of North Americas largest healthcare products suppliers and a major U.S. building supply distributor. Our direct sales team also contributed to our success in the quarter, bringing in initial orders from our large regional U.S. grocery chain our North American consumer beverage production and a leading U.K. based industrial products manufacturing among others. This ongoing horizontal growth is essential for us to achieve one of our primary strategic goals diversification of revenue sources. Just to iterate I.D. Systems position in the wireless industrial vehicle management space, we hold the dominate market share and win a majority of the opportunities we encounter against direct competitors. Though a small portion of industrial trucks are currently equipped with any sort of vehicle management system. We estimate that our total of $3 million industrial trucks in North America and $3 million in Europe. The maturation of this market is therefore central to our growth strategy. As vehicle management systems are increasingly adopted as a best practice for industrial fleet safety, maintenance control and productivity optimization, we expect to continue to capitalize on our preeminent market position to the benefit of our shareholders. Last but certainly not least among the highlights of Q3 2011, we derive significant revenue from the rental vehicle management systems we are supplying to Avis Budget Group. Following an extensive pilot program in which Avis deployed our system on 500,000 vehicles, we executed an exclusive agreement with Avis Budget in Q3 to expand the use to our technology. As we have detailed in our previous announcement and conference call, the highlights of this agreement include a $40 million purchase order to deploy our system on an additional 25,000 Avis Budget vehicles, a contractual option with several incentive for Avis Budget to expand the system deployment across it’s global fleet of vehicle, which are fully exercised would generate an order of magnitude and greater revenue stream for I.D Systems and then investment by Avis Budget to acquire a 9% equity stake in I.D Systems. In addition to the financial benefits, this transaction is significant because it fully integrates our patented vehicle management technology with Avis Budget’s existing back end systems and established our solution as enabling force behind the new Avis on location offering, which is Avis Budget strategic entry into the emerging market from virtual car rentals. With our virtual car rental technology Avis Budget can provide a decentralized charge by our car rental service to it customers without any on mark sales. And the service can be deployed quickly wherever demand dictates with its few or as many vehicles as needed on a daily or even hourly basis. Among the many advantages our technology gives Avis Budget over competitors like Zipcar, that you do not need a subscription to access the service or special car to access the vehicle, everything is control through smartphone accessible web interface with I.D Systems wireless communications technology and our intelligent devices inside the vehicle, which do everything from recording vehicle usage to unlocking and locking the car doors. In addition, the same hardware device is used for the virtual application as with the automated traditional airport application giving AVG complete flexibility of their fleet utilization. On that note, let me turn the call back to Jeff, so he can open the call for questions.
Jeffery Jagid: Thank you, Ken. At this point, Operator, we’d like to open the call for questions.
Operator: (Operator Instructions) And so our first question comes from Matthew Hoffman with Cowen & Company.
Matthew Hoffman – Cowen & Company: Hey. Nice quarter guys. So Jeff, you mentioned the $50 million topline value would that really guided you that revenue level. So within the context of not meeting to add OpEx until you hit that run rate, that’s really only about $12.5 million quarter run rate, you are 11.3 now, so you’re close to 10% or so of hitting that that level. With regards first of keeping the topline growing and getting that $12.5 million run rate and $50 million in a year, is that really a soft target that we should be kind of collaborating our models toward? And second is when you start to -- you need to grow that OpEx again is it dollar for dollar, is there some leverage on the revenue, if you go over that kind of target? Thanks.
Jeffery Jagid: Thanks, Matt. I’m hesitant to give guidance as far as timing for $50 million, but we really believe that that’s really the next milestone for the achievement of revenue growth to the company. And you’re actually right, we are fairly close to that number, so it’s certainly something that we’re working very diligently to meet and exceed. I’m hesitant to give timing obviously in the complex of this call. And as far as levering the model that’s a great question, there are significant leverage in the model and we would expect that that numbers north of $50 million, you should start to see 10% to 15% operating income. So you would not see a dollar for dollar increase in the expenses and there is definitely leverage below the gross margin line.
Matthew Hoffman – Cowen & Company: So it’s 10% to 15% on the incremental dollars, above $15 million?
Jeffery Jagid: Right. That’s correct.
Matthew Hoffman – Cowen & Company: All right. All right. So Ned, your section housekeepers primarily here, first your $300,000 and other income what was that and is it a one timer?
Ned Mavrommatis: Yeah. That’s a one timer, we – if you remember during last quarter we talked about some patent litigation, we actually had a settlement then we received $275,000 during this quarter and it’s another income.
Matthew Hoffman – Cowen & Company: All right. Second we go through rather then breakdown for the quarter, Asset Intelligence and partly hardware for services for both?
Darryl Miller: Sure. So the Asset Intelligence -- revenue for Asset Intelligence was $4.1 million, $1.1 came from product and $3 million came from services and then vehicle management system $7.2 million, $5.8 came from hardware and $1.4 came from services.
Matthew Hoffman – Cowen & Company: All right. OCF, I’ve been coming up with negative -- about $100,000 negative for OCF with $1 million in inventory build, $300,000 in account receivable, is that the new base line for those working capital items here at this revenue level or is there, a way to work that down?
Ned Mavrommatis: No. You don’t, Matt, if your numbers are right by the way. We -- during the quarter we only lost about $100,000 in operating cash flow. However, during the fourth quarter we are going to build and deliver on the first 5,000 units from Avis under the new agreement that we got. And as you know we’re not going to collect that cash overtime, so we would probably see negative cash flow because of that reason, however we’re going to collect the cash in the future.
Matthew Hoffman – Cowen & Company: Can you size that approximately, so we can collaborate the model?
Ned Mavrommatis: It depends, after that receivables but we could see probably in the fourth quarter cash going down in total by anywhere between $750,000 to $1.5 million, pretty big range, but it all depends…
Matthew Hoffman – Cowen & Company: Okay. Fine. Lastly, if you Ned, fully diluted share account?
Ned Mavrommatis: $12.1 million.
Matthew Hoffman – Cowen & Company: All right. Last for Darryl. So I’ve got to breakdown here from Ned on $1.1 million in product, Darryl you mentioned the number of orders and design wins or wins, some came from your competitors? Can you talk about that hardware number? I believe it is approximately doubled since the acquisition. What is the deferred – what is the pipeline look on the hardware, when will we see an uptick on the service line as a result of all the new hardware coming in? Thanks.
Darryl Miller: Yeah. An answer to that question, the services line correlates with the record orders we had, they are just correlation between the two and we’ve got existing orders where customer are improving and increasing their order, as we mentioned between Knight and Wal-Mart and also new customers, everything from new retailers to logistics companies to trucking company. And as we add on those record orders they translate directly into increases in revenue and we brought in $4.1 million, which is up consistently each quarter, since we started having record level sales and that will continue as we go forward.
Matthew Hoffman – Cowen & Company: Got it. And I guess that’s all. That’s all for me now. Thank you, guys.
Jeffery Jagid: Thanks Matt.
Operator: (Operator Instructions) And sir, I am showing no further questions in the queue.
Jeffery Jagid: Okay. Thank you and thank you everyone for participating on today’s call. We look forward to speaking to all again soon. Thank you very much.